Operator: Thank you for standing by, and welcome to Upwork's First Quarter 2023 Earnings Conference Call. [Operator Instructions]. As a reminder, today's call is being recorded. I would now like to hand the conference over to your host Mr. Evan Barbosa, Vice President of Investor Relations. Please go-ahead sir.
Evan Barbosa: Thank you. Welcome to Upwork's discussion of its first quarter 2023 financial results. Joining me today are Hayden Brown, Upwork's President and Chief Executive Officer and Erica Gessert, Upwork's Chief Financial Officer. Following management's prepared remarks, we'll be happy to take your questions. But first, I'll review the Safe Harbor statement. During this call, we may make statements related to our business that are forward-looking statements under federal securities laws. Forward-looking statements include all statements other than statements of historical fact. These statements are not guarantees of future performance, but rather are subject to a variety of risks, uncertainties and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC website and on our Investor Relations website as well as the risks and other important factors discussed in today's shareholder letter. Additional information will also be set forth in our quarterly report on Form 10-Q for the three months ended March 31, 2023, when filed. In addition, reference will be made to certain non-GAAP financial measures. Information regarding a reconciliation of non-GAAP to GAAP measures can be found in the shareholder letter that was issued this afternoon on our Investor Relations website at investors.upwork.com. As always, unless otherwise noted, reported figures are rounded and comparisons to the first quarter of 2023 or to the first quarter of 2022. All financial measures are GAAP unless cited as non-GAAP. Now I'll turn the call over to Hayden.
Hayden Brown: Thanks, Evan, and thank you all for joining us today for our first quarter 2023 earnings call. Before we dive into our results, I would like to take a moment to introduce all of you to our new CFO, Erica Gessert. She started her new role last week, and I'm thrilled to welcome Erica to Upwork. Erica joins us from PayPal where she previously served as Chief Transformation Officer. And before that SVP of Finance and Analytics. She has had an extensive track record of driving operational and financial excellence and is a tremendous addition to our team.
Erica Gessert: Thank you, Hayden, and hello, everyone. Let me start by saying I am delighted to join Upwork at such an important time in the company's history. I'm inspired by Upwork's mission and vision, and I'm deeply compelled by the tremendous growth potential ahead of us. My first week has been busy and energizing. There's clearly a lot going on in the business and we're not immune to the macro0economic environment affecting so many companies right now. Just a week in, I've been very impressed by Hayden and the team here, and their commitment to making the difficult but responsible decisions for the business in this environment. I spent a lot of time over the past week diving into the details of our business and engaging with the organization on key growth and profitability initiatives. There's a lot of important work ahead of us, but the long-term opportunity is significant. And Upwork is well positioned and committed to delivering sustainable and profitable growth. I look forward to partnering with Hayden and the rest of the leadership team, as well as continuing our transparent relationship with our investors, analysts and other key stakeholders. Now I hand it back over to Hayden.
Hayden Brown: Thanks, Erica. I'm looking forward to partnering with you as we continue to innovate, evangelize and scale our work marketplace. We spent the first quarter of 2023 moving swiftly to adapt to new realities as we saw the economy further impact our customers and our business. We delivered a better than expected first quarter with GSV exceeding $1 billion for the fifth straight quarter and first quarter revenue growth of 14% year-over-year to 160.9 million. We had adjusted EBITDA of negative 2.9 million in the first quarter. We also surpassed an exciting milestone in the first quarter $20 billion in lifetime of Freelancer earnings on Upwork, which doubled from $10 billion in only three years. This milestone is a testament to the incredibly diverse high-value work happening on our platform every day, as well as the abundance of highly skilled talent with which hundreds of 1000s of clients build long-term trusted relationships on Upwork. We're building this business to achieve the next milestone of $40 billion in Freelancer earnings and beyond. At the same time, we saw some unanticipated deterioration in certain client metrics due to macroeconomic uncertainty, which was most pronounced with our enterprise customers and large businesses in the self-service marketplace. This caused us to lower our top-line revenue growth expectations and proactively take cost reduction measures to increase our profitability outlook for the remainder of the year and significantly accelerate our progress towards long-term profitability. The opportunity ahead of Upwork continues to be significant. And we're moving aggressively and intentionally to advance both our profitability and growth goals via a three-part framework. First, running a lean and efficient organization. We remain unwavering in our commitment to building an efficient, profitable business; steps we have taken to streamline our operations include a workforce reduction, a pause on our second half brand media investment, considerable revisions to our hiring plans, and reduction of vendor related expenses. We reduced our workforce by 137 roles or approximately 15% of full-time employees and have also reduced positions of independent team members. We're also pausing our brand media investment indefinitely and reducing our brand working media spend by more than $22 million in the second half of 2023, representing a reduction of 94% versus the prior plan for the second half of 2023. Our team has done a phenomenal job increasing our unaided brand awareness, and our brand campaign is resonating with customers. However, in the current macroeconomic environment, we do not have enough visibility into exactly when we will see brand awareness translate into client conversion to continue prioritizing the investment at this time. In total, the measures announced today are expected to drive over $80 million of annualized net cost savings and deliver approximately $40 million of net cost savings in 2023. Our second quarter 2023 adjusted EBITDA guidance of zero to $2 million, representing a 0% to 1% adjusted EBITDA margin includes approximately $4 million of non-recurring severance related costs, excluding these non-recurring severance related costs, our second quarter 2023 adjusted EBITDA margin would have expected to be 3% to 4%. These actions put us on a course to deliver fourth quarter 2023 adjusted EBITDA margin of approximately 16%, while remaining consistent with our ongoing commitment to drive durable growth and invest for strong returns. Our cost discipline, agility and focus on cost optionality in our operations will continue under Erica Gessert who we are thrilled to announce as our new CFO during the first quarter. We will share more about her long-term outlook and targets over the next several quarters as Erica settles into the role. We were also pleased to announce Sunita Solao as our new Chief People Officer shortly after quarter end and look forward to her leadership of our people team. Second, optimizing our growth portfolio. Growth continues to be a major priority, and we are focused on two main areas right now. Over the last few years, we bolstered our product lineup considerably with key enhancements and expansions, including integral improvements to our enterprise suite, the addition of new products like product catalog consultations, and our recently announced end-to-end solution to support full time hiring. As the category leader in our space, we know that our opportunity to offer customers a singular destination capable of serving the full breadth of their hiring and work needs is critical for clients spend, lifetime value and retention. Now that we have such a robust product lineup, we're in a strong position to drive the adoption of our product portfolio and deliver even more delightful experiences to customers. This means we're going deeper rather than broader with our R&D, narrowing the scope and focus of the projects on which our team will work. Another major focus area for us continues to be generative AI. We are establishing Upwork as a pre-eminent option for finding and hiring specialized, skilled talent for the full range of generative AI related work. We have identified and are pursuing multiple dimensions of this opportunity for talent, clients and our own teams through our own product development, unique research and partnerships. Both supply and demand for work and talent related to generative AI tools and technology implementations continue to climb. The average weekly number of search queries related to generative AI in the first quarter increased over 1,000% compared to the fourth quarter of 2022. And the average number of weekly job posts related to generative AI increased more than 600% over the same time period. To serve this explosive demand, we have continued updating our talent marketplace to reflect exciting new skills and roles, like prompt engineers, and added new project catalog categories of work, bringing the total number of categories on Upwork to over 125. Our own development team have also been innovating and testing new interfaces and experiences made possible for our customers by generative AI technology, and large language models. We are testing generative AI powered solutions for transforming core customer experiences. Like getting started, posting jobs, receiving support and having questions answered. We are working around the clock to bring the benefits of these new technologies to talent on Upwork in every category we serve. Generative AI as it emerges into the mainstream has us excited, we know that it is going to be a force multiplying tool for talent, and a cost saving advantage for clients. And we are committed to fully exploring and harnessing its power and efficiency. And third, tuning our sales approach to where we win in this macro environment. In the fourth quarter of 2022, trends in enterprise suggested we could achieve our quarter-over-quarter growth goals, inland productivity and expand client spend for 2023. These indicators included expected strength or stability in key metrics like sales cycle links, new deal close rates, client retention, and spend level from some of our largest customers. Those expectations did not materialize, and headwinds in these metrics in the first quarter and early in the second quarter shifted our expectations. So we've acted accordingly, in announcing personnel changes today that put our sales team back on sound economic footing. As part of these changes, Eric Gilpin, our Chief Sales Officer and current GM Enterprise will be stepping down. He has contributed so much building our business and team to this point, and as leaving a strong legacy. He will stay on in an advisory role through the end of the second quarter. We also spend time in the first quarter analyzing our data, and testing to identify key insights about where our product and our sales reps are performing best. We're using those insights to refine our sales strategy, focus on the most productive areas of opportunity in this environment, and drive stronger results with the leader team we will have bringing our productivity back in line with our ROI targets. To support our objectives as underscored in the three-part framework. We continue to focus on capital structure and allocation. In the first quarter we repurchased at a discount over $200 billion in principal amount of our outstanding convertible senior notes. Despite some of the short-term turbulence we face, we continue to operate the business in a nimble and proactive manner. Given our confidence that are massive long-term opportunities continue to be intact. As our financial results demonstrate, we continue to grow, albeit at a more moderate rate. Our established strategy and investments are sound, and we will continue to be prudent and disciplined with our spend in the here and now. Taking actions aimed at delivering profitability as we progressively unlock durable growth and position the business to capitalize on recovery in the macroeconomic environment. Throughout 2023, we're focused on the things we can control, innovating, evangelizing, and scaling a work marketplace that delivers cost effective, unparalleled workforce solutions, and an exceptionally deep and diverse pool of skilled global talent to meet our customers work needs. Thank you. We'll now open the call to your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Eric Sheridan of Goldman Sachs. Your line is open.
Eric Sheridan: Thank you so much for taking the questions. Maybe two, if I could. First in terms of the larger clients where you're still seeing very good growth. Could you contrast the behavior of some of your larger clients and the growth you're seeing there, versus some of the smaller and medium sized clients and why we might be seeing more of a macro economic impact there versus the larger clients will be one. And then on the back of the efficiency program, how should we think philosophically about allowing elements of that increased profitability to drop and stay at the bottom line in terms of margin, versus eventually possibly redeploying and reinvesting it behind your growth initiatives over the medium to long-term. Thanks so much.
Hayden Brown: Hi, Eric. Your first question around the spend trends that we've seen in the last couple of months emerging, we still feel really excited about the enterprise opportunity for this business, it's clear that this is evident, unlocked for us over time with our TAMs. But in this macro environment, we've definitely seen some of our larger customers really feeling under budgetary pressure. And the way that's translated through as you know, some of them are just maintaining the existing budgets that they've had with us, instead of expanding that spend as they might have in a normal macro environment. And that's really clear on the enterprise side of our offering. Others are going through budget cuts themselves, or layoffs and things like that, and those customers might be reducing the size of their spend with us whereas again, in an ordinary environment, they would be maintaining or expanding their spend. So that has been showing through in our enterprise business and has been contributed to more than half of the reduction in our guidance outlook for this year. On the marketplace, side of business where we talked about, our smaller customers, they've been incredibly resilient. And while we do see some smaller average spend per clients than what we would probably normally see outside of this macro, that business is trending really well and is contributing much less to our takedown in the guidance outlook. To your second question around philosophically thinking about margin in the bottom line, we've always been very committed to driving profitable growth in this business, that has not changed. But in this environment, which has changed, we're really demonstrating that we can drive that profitable growth, and have reordered some of our priorities, so that we are investing again, right now in the places where we see good line of returns and are excited about things like R&D, and where that can pick up and our right sizing our sales efforts based on what we see in the environment. So exiting this year, with Q4 at 15% approximate EBITDA margin, I think, is a good indicator of where we think we can take this business. But I think it's early to say what we would do in 2024 and beyond.
Operator: Thank you. One moment please. Our next question comes from the line of Brent Thill of Jefferies. Your line is open.
John Byun: Hello, this is John Byun for Brent Thill. Thank you. Once you get maybe a little bit more call on the macro side, and what you were seeing different maybe by industry, or by geography. You mentioned tech was weak, but just wondering about some of the other industries. And then maybe as a follow up that if you could talk about, how April trends were different in any way versus what you saw in Q1? That'll be great. Thank you.
Hayden Brown: Hi, John. In terms of industry and geo trends, we did see, for the end of Q1, I'd say more of a show through in terms of teach, from an industry sector, we've seen the layoffs, we've seen the impact of the tech industry at large. And I think that's through some of our customers more prominently than what we've seen earlier in Q1 or even in 2022. So that was a bit more evident, although we still see tech companies as some of our strongest vendors, and great adopters of Upwork. So by no means has that opportunity gone away. But I think, they are feeling the pain of this environment. And that was more evident with our larger customers this quarter than in the past. And we have [indiscernible], at the same time, we did see a lot of positive activity in terms of technical categories on our site, with huge growth in job posts and demand for Gen AI. And so I think, again, we served tech buyers across the landscape, regardless of the industry of those client companies. And that's something that we saw with the increase in 10x of searches for talent in those categories and a 600%, quarter-over-quarter increase in job posts for that type of talent. So we continue to serve both talent, technical talent and technical customers in a variety of ways, which I think is going to be very interesting. From a geo perspective, I think the trend that we started to see in Q3 of last year were kind of way to Q2, Q3 where the European customer base on the client side has felt I think more of an economic slowdown within customers in the U.S. has continued to be true. So our clients in the U.S. have continued to be a bit stronger than European based clients. But I couldn't say that there was no new noticeable separation more recently than currently.
Operator: Thank you. One moment, please. Our next question comes from the line of Nat Schindler of Bank of America, your line is open.
Nat Schindler: Yes. Hi, Hayden. Thank you. The CEO of IBM recently said that they could see 30% of back-office jobs replaced by AI in the next five years. Obviously, we've heard all kinds of predictions like this before and from other people. But it was an interesting one that just came out and a lot of people were thinking about AI disruption in the market in the last two days. On the one side, you can help companies find AI contract work. But on the other side, you have a lot of contractors who do what would be often called back-office work or short-term labor that would be in that category. What do you think happens to the entire staffing industry online and offline competitors is visible?
Hayden Brown: Yes. Nat, thank you for the question. I think it's a really interesting sea change that's happening in the environment right now with the advent of AI. And this is an outlook from IBM, because frankly, we all know that the old ways of working are out the window. And this started before AI even I mean, as we've gone through the pandemic, with the advent of remote work, companies absolutely need to be rethinking their workplace and workforce strategies. And we are a part of that. The fact that IBM is rethinking their workplace and workforce strategy, with AI, is actually a huge opening for a company like Upwork. Because in the past, when they weren't thinking big about how they need to redesign work, and who and how work is getting done, including the technology and the tools to deliver that work. It was a lot harder for a company like us to get into that conversation and have a really strategic conversation about how they need to shift from full time employees, fractional work, to project based work in a different model, just really what we deliver. In a world where they are now really rethinking things and shifting to AI and alternative models of working and old stack models and old full time employee models are out the window, it is a lot easier for us to have the conversation that we should be having with the IBMs of the world about how we can help them with the flexibility, the cost savings, the on demand model that we offer them. So I think the advent of companies really shifting their entire thinking about how work is delivered and what tools are critical for that is an enormous opening for Upwork now and the future.
Operator: Thank you. One moment please. Our next question comes from the line of Matt Farrell of Piper Sandler. Your line is open. Mr. Farrell, your line is open.
Matt Farrell: You made the move to cut the second half brand spending almost entirely due to the macro? I guess, where does brand spending fit into the picture longer term now that we've accelerated the path to profitability? And what are you looking for in the market to potentially reinstitute the brand spend, maybe at the size and the scale that you have been over the last couple of quarters.
Hayden Brown: Matt, our marketing team has done a phenomenal job increasing our awareness. We saw a 45% increase in unaided awareness amongst business decision-makers overall since the start of the campaign that we released at the end of last year. And I think, at this moment, we don't have enough visibility into exactly when we will see the brand awareness that we've been building translate into client conversion, particularly just because in this environment, companies are really in this mode of cutting budgets, kind of cut now, ask questions later about how they're going to deal with some of the things that they're trying to deliver on. So I think your question is a good one. I think for us, we've got to drive some of our results around some of the more immediate term opportunities we see where we know invest and deliver strong returns from a growth perspective, and then come back to this question about brands over time. Knowing also that in the meantime, we can execute on other more targeted ways that we can elevate our brand awareness with the right audiences, as well as deliver on performance marketing and other channels that in this environment are doing really well for us.
Matt Farrell: And maybe a second question, you all announced the change in the fee structure to a more simplified dynamic, I guess as we think about marketplace take rate, as we move through 2023 and 2024, how should we be thinking about the tailwinds or the uptick in marketplace take rate due to the fee structure change? Thank you.
Hayden Brown: Sure. I think the take rate expectations we have for this year are around, something's kind of similar from an expansion perspective to what we probably saw last year. And I'd underscore that the pricing changes that we're making really are founded in marketplace health and ensuring that we're both capturing value when we're creating value. And we're driving the right incentives on the platform around first and foremost, unlocking client demand. Because at the end of the day, we are a demand constrained business. And so that's really, beneath all of the changes we've made into pricing, both last year and this year.
Operator: Thank you. One moment, please. Our next question comes from the line of Brad Erickson of RBC Capital. Your line is open.
Logan Reich: Hey, thanks for taking the question. And this is Logan on for Brad. Maybe one for Erica, just because you've been in the business for about a month now, what are the kind of big initiatives and things you'll be working on in the next six to 12 months? Thanks.
Erica Gessert: Sure, Logan. Nice to meet you. And just to correct you, I'm actually on day eight right now. So a little less than a month. But I do feel like I've had an opportunity to dig in, although I'm really just scratching the surface here. First and foremost, obviously learning the business and the team. I do want to dig into the growth strategies of the roadmap of which I've seen many. I just want to emphasize in my first eight days, we're as I said, in my prepared remarks, we're not immune from the kind of broader macroeconomic environment in this business. But that by no means in my mind diminishes opportunity ahead for this business, I think it's tremendous. And I'm going to be working together with the rest of the management team to really dig into those growth opportunities and make sure that we're -- right now, we are absolutely making the right responsible moves in order to show that we can produce profitable growth. But this is both a top and bottom-line growth company. I think we all have that conviction here as a management team. And I'm going to be working with everyone to work on the roadmap to deliver that.
Logan Reich: Great, thanks. And then just one quick follow up. In the past, you guys have said that, obviously, the SMB was a little bit weak, I think last quarter, you guys called them out specifically, and also mentioned that they're a little bit quicker to react to changes in the macro environment. So how your return to growth on active clients? So, are there any sort of signs you guys are seeing in terms of the SMB inflecting, relative to what you're seeing in terms of the larger customer weakness? Thanks.
Hayden Brown: SMBs, I think it shows the resiliency of the business, even through this macro. It's interesting, because it has been the larger customers who seem to be a bit more impacted right now. And when we look at the delta, between our expectations last quarter versus this quarter, you're right that basically, the difference we've seen is not on the volume side in terms of client activity, or even contract or job postings like that on the site. The only place where we've been somewhat surprised has been just a spend for contracts, or the GSV per client, but you can even see some of our published numbers. And I think that's just attributable to some of the factors and the pressures we see in the macro. And also the fact that our talent marketplace has become so at scale, that there's a lot of wage pressure for talent. And so it's a very competitive, attractive marketplace for clients and clients are finding that great value, which is driving that SMB activity, because people are seeing that they're getting great quality, talent and great work done in this ecosystem. So those SMBs as we said, have that fast twitch, they respond quicker last year, and now we're seeing some strength in terms of volume and activity, which is great.
Operator: Thank you. One moment, please. Our next question comes from the line of Bernie McTernan of Needham. Your line is open.
Bernie McTernan: Hey, I guess demand, looking for people who can do AI jobs is I think a bit counterintuitive. I think part of the allure of AI is not having to hire as many people. So can you maybe just describe what you're seeing from the demand perspective.
Hayden Brown: Sure. I think some of the growth we're seeing is definitely in categories like Data Science and Analytics, which you can imagine why that would be a [indiscernible] in this environment. In that area, we saw job postings growing 33%, year-over-year and 22%, sequentially, as one example. We've also been adding new skills and categories to the platform, which got us to roughly 25 broad categories, including some areas that are very relevant to the work that people are undertaking to implement, train, and do other AI based modeling work. So I think that's a piece of it. And then, I think the other thing I would mention in this area is, as we draft off the tail for this new job, or this area, we also have additional categories, like writing, which you might think, to your point is going to be more at risk is a very small category for us today. I mean, it's pretty tiny. But even in that category, we actually saw sequential growth quarter-over-quarter. So I would just underscore, we're not seeing any negative impacts from AI today. And as I look across the work that's happening in the platform, some of the more interesting things we see is, in pretty much every category we serve, talent is using AI tools to augment their workflows. And I think this is where they're now delivering better value and better solutions for their clients. And so I think, to the extent that's happening, and we can also help that happen, because we can give them insights into what tools to be using because access to tools and things like that, that's improving their outcomes, improving satisfaction for the clients that are buying work from them, potentially driving our prices, but also just giving time to clients to come back to the platform again, and again. So with all of that happening, I think that's a plus. And then, the final thing I'd add on this is, 85% of our GSB today actually comes from longer complex projects and jobs on the platform. So again, I think the thing we see here is AI augmenting the work overtime, more so than displacing the work altogether. So we're very excited about what this can allow for our customers. I think, directly with talent using the tools as well as us, embedding a lot of the AI functionality directly into the site, and we're executing on all fronts to really take advantage of this exciting opportunity.
Operator: Thank you, one moment, please. Our next question comes from the line of Marvin Fong of BTIG. Your line is open.
Marvin Fong: I guess, just to build on some previous questions. So question on the take rate change, or the commission fee change, I think is starting today. So I guess by definition, the 5%, here are your most valuable relationships, since that's a $10,000 cut off. So they'll be seeing a fee increase, and I guess just maybe, drill down a bit deeper into your thought process about the trade-off of simpler, higher fee structure and end up potential that some of your most valuable projects, might be some pressure from -- this change in the fee structure.
Hayden Brown: Marvin, the change for the [indiscernible] 5% here with their existing projects actually doesn't go into effect until the end of this year. So for those relationships and contracts, there's a really good grace period before any of that impact happens. And frankly, a lot of those relationships or contracts, may have already rolled off or reached a natural endpoint before that time anyway. So I think that derisk part of what you're asking about. I think on the other side, you've seen a lot of data over the many years that we've kind of monitored and examined our pricing in the platform. We approached this change with extreme care and thoughtfulness based on the data we have going back to 2016, when we had our previous breaking, which was a flat 10% fee. And based on looking at all that data and experimentation and testing we've done to really understand the dynamics around pricing and how it drives incentives and behaviors. We did conclude that the new flat fee structure is both simpler, which has a huge benefit for customers. And also has really positive impact in terms of reducing pricing for the vast majority of talent and relationships that actually will unlock stimulate further client demand, which is the number one thing that freelancers care about other than making sure that they get paid for. Those are the two things that people want more jobs, and making sure that they get paid for the work they're doing. So with all of that, taken together and understanding the puts and take in a very deep level based on all the data we have, from many years of looking at this. We are very confident that the one-time risk around switching that fee structure, both the 20 to 10, at the front end of relationships, and the five to 10, for a relationship that gets to that $10,000 earning level is definitely a positive change for the marketplace for the long-term.
Marvin Fong: Great. That makes perfect sense. And then, just to build on all the questions about AI, and I imagine that this will be difficult for you to pinpoint. But no, you've already -- you're giving us full year guidance. Would you say that AI factored at all as a standalone phenomenon in your annual revenue guidance? And if so, is it a positive, negative or neutral?
Hayden Brown: AI does not factor into our full year guidance at all, because we're not seeing any impacts of that on the business. I think the benefits for sure outweigh the negatives here. And so I think as we're executing through this, we're excited to take advantage of the tailwinds and the things that we're executing in the future. But we didn't factor anything specific into the guidance around that.
Operator: Thank you, one moment please. Our next question comes from the line of Andrew Boone of JMP Securities. Your line is open.
Andrew Boone: You talked in the letter about narrowing the focus for R&D. Can you flush that out a little bit and help us understand what on the product roadmap is being emphasized versus maybe being put on the backburner? And then on the enterprise, sales force, it sounds like there's significant changes going on there. Can you help us understand as we get to the other side of that transformation, what changes about enterprise and kind of what's your longer-term vision there? Thanks so much.
Hayden Brown: Sure. On the R&D side, we're taking this opportunity to really hone in on -- we have a really robust product portfolio and cover a fantastic breadth of used cases for our customers across the work marketplace has built that out substantially over the last three plus years. And now we're really just going deeper in terms of driving product quality and adoption for the products that we're serving customers with, rather than going broader and adding new products to the lineup. So that's really the opportunity for us. And as we go through that exercise over the next month and quarters and continue to go deeper and really continue to drive performance in those products, I think we will continue to evaluate other places where we can sunset feature or functionality aspects of the product portfolio, to again, continue to make sure that our resources are focused on delivering where we have the best results. So that's part one of what we're capturing on the R&D side. And obviously, part two is, with all the exciting work happening on AI, which you talked about on this call, that's a big opportunity as well. And in key places, we're moving resources from less exciting areas of our product, roadmap and portfolio and use that to those opportunities. On the enterprise side. This is, again, this is a huge, long-term opportunity for us, the sales team is really just shifting focus into the most high value and high performing areas of our portfolio. And we have amazing data about what that is. So it's pretty easy and evident for us to take our leaner team that we have today and redirect them to those highest performing opportunities. And so I think the long-term vision here is absolutely unchanged. We know we can serve larger customers, whether it's the fortune 100, the Microsofts of the world and others, as we have always done with a really compelling best in class offerings and continue to graduate customers who come into our self-service marketplace and start to scale up into our enterprise offering over time. So, broadly speaking, it's not about changing the strategy or the vision, it is more about tuning some of our focus areas and the efforts of the sales team to go after the places that in this macro environment are both evident. So nothing has diminished about the opportunity. The strategy is broadly unchanged, but we are tuning the approach to be really tailored for this market.
Operator: Thank you. One moment, please. Our next question comes from the line of Ron Josey of Citi. Your line is open.
Unidentified Analyst: Hi, this is Jake on for Ron. I just wanted to touch on the full-time opportunity. Now that we're quarter in, could you kind of give us an update on adoption reception of that offering and whether the headwinds on macro change anything in terms of pushing this offering to clients. Thanks.
Hayden Brown: Absolutely. The full-time offering continues to be something that's, as I mentioned, a key part of our product lineup that we just launched a quarter ago. So in terms of adoption reception, very positive, we see strong signals in the current marketplace that customers on both the client side and the talent side are very interested in things like contract to hire, which was a piece of that offering, as well as intrigued that they can now use Upwork, to do things like payrolling solutions from the talent marketplace, which historically was something only available to our enterprise customers. But I'd also note that it's only a quarter end and so we always knew that this type of new offering would be something that would take time to socialize, to ramp, to tune, given that this is not something that most of our customers have historically expected to do with us. And so I wouldn't say that there's anything notable about macro headwinds, it's more about socializing, and introducing this type of a new offering to a customer base that has been historically accustomed to getting other types of things from us. So we're very excited to continue pursuing that.
Operator: Thank you. One moment, please. And the last question comes from the line of Rohit Kulkarni of ROTH. Your line is open.
Rohit Kulkarni: On the revenue outlook for the rest of the year, maybe talk about like, the level of visibility or the confidence that you have today versus where you were at the beginning of the year. You talk about these three phases, and the first phase being cost cutting and freezing hiring budgets, in your customers, and you're still in that phase. So given that, probably there is a little bit more time for the second phase to pick in, maybe just talk about how confident do you feel about the remaining eight to nine months of the year, as well as just the visibility that you have versus where you are at the beginning of the year?
Hayden Brown: Well, we're about a quarter closer to the end of the year, Rohit. So I guess we have a little more visibility than we did three months ago. And I'd say what's changed is we definitely have a perspective now that more of our larger customers and targets are sitting still in that first phase that we talked about, rather than having moved to the second or third phase. So that is more information that we didn't have previously. In terms of where we see the rest of the year shaking out. I think what we removed from our guidance outlook was previous expectations that we had about our normal seasonality that we would have in the business in a non-macro impacted year where the back half of the year would be seasonally stronger due to kind of the ordinary things we see on our platform. So with our revised outlook, based on seeing more of these customers in that phase one, impacted by the macro environment, we now do not expect to see that normal seasonal behavior in the second half of the year. We do expect to see a step up in the second half of the year versus the [indiscernible] in Q2, because of the dynamics around a lot of our pricing changes and the laughing effects relative to last year in Q3 and Q4. But I think that is a shift in perspective versus what we had last year. I'll also note we didn't take in a specific macro perspective about things getting worse, or things getting better. But we did remove from our outlook, the normal seasonality improvement that we would see absent what we're now seeing in the macro.
Rohit Kulkarni: Okay. That's helpful. And then, a question on AI. I guess there is this growing debate that structurally, AI is going to drive more efficiency and the first leg of efficiency would come into most of the tech companies that would be early adopters of those AI tools internally just to drive better discipline. So maybe talk about your thoughts on that. Do you feel structurally speaking year or two years from now Upwork could be a much more profitable company, if you are adopting AI internally, is there just broadly not specifically to Upwork where do you think about applying AI for internal productivity gains not just for your customers?
Hayden Brown: This is a huge opportunity for us and every tech company and certainly we've been testing these new tools as well, because I think the productivity gains are very real. And so, I can't tell you how that will translate exactly into profitability, outlook, one or two years out. But I think it's the responsibility of me and every CEO who has engineers in their business to be really pushing on how we can use these tools to improve efficiency, and also to improve developer satisfaction. I mean, I can tell you that as our engineers, try out these tools, at least extremely exciting conversations and frankly, unlocked their scope of expertise to be doing other things that they're really excited about kind of wearing on in their work. So I think there's going to be big questions about as our teams get more productive, what then do you do with the resources that you're freeing up? And so I think those are questions that all of us will navigate as we move forward. But, again, AI is a huge opportunity, and we're really excited to be taking advantage of it.
Operator: Thank you. That does conclude the call, I will turn the call back over to Evan Barbosa for any closing remarks.
Evan Barbosa: Thank you. On behalf of the entire Upwork team, thank you for joining us today and thank you for your interest in Upwork. If you need any clarifications or have any follow-up questions, please do not hesitate to reach out to me at investor@upwork.com. This concludes our call.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.